Operator: Good morning, and welcome to the Fluor Corporation’s Third Quarter 2019 Earnings Call. Today’s call is being recorded. At this time all participants are in a listen-only mode. A question and answer session will be follow management's presentation. A replay of today’s conference call will be available at approximately 10:30 AM Eastern Time today, accessible on Fluor’s website at investor.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 7:30 PM Eastern Time on November 6th through a registration link, also accessible on Fluor’s website at investor.fluor.com. At this time for opening remarks, I would like to turn the call over to Jason Landkamer, Director of Investor Relations. Please go ahead, Mr. Landkamer.
Jason Landkamer: Thank you and good morning. Welcome to Fluor’s third quarter 2019 conference call. With us today are Carlos Hernandez, Fluor’s Chief Executive Officer; and Mike Steuert, Fluor’s Chief Financial Officer. Our earnings announcement was released this morning and we have posted a slide presentation on our website which we will reference while making prepared remarks. Before getting started, I’d like to refer you to our safe harbor note regarding forward-looking statements which is summarized on slide 2. During today’s call and slide presentation, we will be making forward-looking statements which reflect our current analysis of existing trends and information. There is an inherent risk that actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences in the company’s Form 10-Q filed earlier today and our 10-K filed on February 21st. Our 8-K was filed this morning however due to [Indiscernible] issues it has not posted. During this call, we may discuss certain non-GAAP financial measures. Reconciliations of these amounts to the comparable GAAP measures are reflected in our earnings release and posted in the Investor Relations section of our website at investor.fluor.com. Now I’ll turn the call over to Carlos Hernandez, Fluor’s CEO. Carlos?
Carlos Hernandez: Thank you, Jason, and good morning. Thank you to everyone joining us today. Before we discuss our quarterly results, I want to quickly reiterate the changes we announced on September 24 as part of our strategic review and operational review. If you would please turn to slide three; last month we committed to a plan to sell substantially all of the government and equipment rental businesses. Starting today we will be reporting those business lines as discontinued operations. We also created a segment called "Other" where we will keep our two fixed price government contracts and NuScale. We're also splitting our Mining, Industrial Infrastructure & Power segment into two standalone segments; Mining & Industrial and Infrastructure & Power. The actions we are taking over the last few months reflect the reality of our industry. We continue to act with urgency and have undertaken these changes to strengthen floor and put the company on a path to deliver consistent and profitable growth. As a result of this product I believe we have a better understanding of our backlog and have confidence that backlog can positively drive future results. Now turning to our segment updates. If you would please turn to slide five; with the third quarter new awards for the Energy & Chemical segment were $256 million and ending backlog was $13.7 billion. Ending backlog reflects the removal of the Wanhau chemical plant complex in Louisiana that was booked earlier this year and canceled by the client in the third quarter. New awards for the quarter primarily reflect the timing of clients FID decisions and are not the result of our revised pursuit criteria. We are committed to following a clear criteria to pursue the right contracts with the right terms. And we believe our new pursuit criteria will help us derisk the business and deliver higher margins. One exam of a project that fits our new criteria is the Rovuma LNG project in Mozambique. Fluor and our joint venture partners, JGC and TechnipFMC were awarded a limited notice-to-proceed earlier this month. This fourth quarter award allows the joint venture team to progress on the project until the final investment decision is reached in early 2020. This project is aligned with our updated bidding standards announced on last quarter – last quarter's call. We work closely with our consortium to develop a project model that appropriately leverages each party's strengths and capabilities. We also held a number of meetings with the client over the last several months to reach an agreement on items that were critical to derisking our execution profile. Like LNG Canada we have a good relationship with strong partners that have deep experience in the LNG space. We're going to continue to work in lockstep with our partners to deliver project that meets our requirements for safety, productivity and profitability. As we look to the fourth quarter and early 2020 Our Energy & Chemicals prospects include several significant reimbursable projects around the world. These include the Formosa Sunshine petrochemicals mega complex in Louisiana, a project in China for INVISTA, and an ethylene oxide plant in Europe for BASF. Let's turn to slide six. The Mining & Industrial Group reported new awards of $119 million in the third quarter and ending backlog was $6.2 billion. Mining EPC awards for 2019 continue to track our expectations from last year as we continue to work on FEED and feasibility studies for large mining EPC project that we expect to be awarded in 2020 and 2021. Now turning to slide seven; the Infrastructure & Power Group reported new awards of $2 billion in the third quarter and ending backlog was $7.7 billion. New awards included the addition of the Texas DOTI-635 East project in Dallas as well as the I-26 North Carolina DOT project outside of Asheville. Segment profit of $1 million reflects our execution on lower margin projects that experienced forecast revisions in the second quarter. Now looking ahead we are pursuing additional road project in Texas and remain confident and the strong prospects from our Fluor Heavy Civil Group. Let's turn to slide eight. Our diversified services segment reported new awards of $260 million and ending backlog was $2.4 billion. This segment excludes AMECO North America which has been moved to discontinued operations. Restructuring of Stork continues to progress on schedule and we anticipate this business will deliver improved results in 2020. Turning to slide nine; the other segment includes our two fixed-price government projects; Radford and Warren and our investment in NuScale. As highlighted in our strategic review, we reported $79 million in charges this quarter relating to the Radford and Warren projects. These charges reflect additional cost growth relative to our initial estimate, engineering changes and unapproved change orders. The charges taken today reflect our current cost complete estimate. NuScale expenses for the quarter were $14 million, but I do want to point out that Fluor did not provide funding for NuScale in the third quarter. We expect to receive another tranche of funding in the fourth quarter and are actively engaged with additional investors. In discontinued operations which includes our government and AMECO North America businesses we reported earnings of $40 million or $0.28 per diluted share in the quarter. Government business was successful in winning contract extensions for Savannah River and Idaho National Laboratory. Our plan to divest these businesses are progressing well and we expect those sales to be completed within one year. And now, I'll turn the call over to Mike to talk through financial results from the quarter and outlook. Mike?
Mike Steuert: Thank you, Carlos and the morning everyone. As you can read about our results for the quarter in our earnings release and 10-Q that we hope to file this morning, I will focus on several key matters. Please turn to slide 10. Our continuing operations, earnings attributable to Fluor for the third quarter were a net loss of $782 million. Results for the quarter include the following items; a non-cash charge of $546 million related to establishing a valuation allowance against net deferred tax assets. $290 million in non-cash impairment charges related to our Fab Yard in China, our investment in Stork and our joint venture with Sacyr. $44 million in restructuring activities and $79 million in project adjustments on two government projects that Carlos just talked about. All these items are consistent with what we communicated on a strategic and operational review call last month. As it relates to the adjustment of our deferred tax assets I want to again point out that while we remove these assets from our balance sheet for technical accounting reasons they are still available to Fluor for tax purposes. This higher than anticipated tax rate this quarter is due to the company being impacted by this valuation allowance and certain foreign charges that could impact tax -- could not be tax benefited. Corporate G&A for the third quarter was $10 million compared to $61 million a year ago. G&A expense is lowered due to reduce compensation accruals and favorable foreign exchange adjustments. Last month, we announced our plan to reduce overhead by $100 million. That plan is underway and we'll provide update later this year. Shifting to the balance sheet, please turn to slide 11. Fluor's cash plus marketable securities for the quarter were $1.85 billion slightly below last quarter. Our available domestic cash improved from last quarter and now represents 28% of total cash and marketable securities. The asset impairments that we took this quarter are all non-cash. In addition a portion of the restructuring charges for this quarter and going forward also non-cash. Cash utilized by operating activities for the quarter total $25 million. We used approximately $70 billion in cash to fund the loss projects in the third quarter and expect to fund roughly $250 million in the fourth quarter. As announced on September 24, yesterday we declared our new quarterly dividend of $0.10 per share. This dividend reduces our cash usage by $15 million per quarter and aligns payout with other similar dividend paying companies. We remain focused on rebuilding our balance sheet and are confident that our financial flexibility will be further enhanced as we complete the sale of government and equipment rental businesses. These sales along with monetization, surplus real estate and other non-core investments are expected to generate excess of $1 billion in aggregate proceeds. And now, if you turn to slide 12, I'll conclude my comments by talking about our outlook for the fourth quarter. Although the company's suspended guidance for 2019, we anticipate margins for the fourth quarter to be 4% to 5% for Energy & Chemicals, approximately 2% for Mining & Industrial, again approximately 2% for Industrial & Power and 4% to 5% for Diversified Services. I also want to point out that Energy & Chemicals margins in third quarter positively affected by closeouts which resulted in margins higher than that were expected in the fourth quarter. We are currently reviewing our operational plan for 2020 and we expect to issue 2020 guidance for the full year at the end of call in February. With that operator, we are ready to take questions.
Operator: Thank you, sir. [Operator Instructions] We'll now take our first question from Jamie Cook from Credit Suisse. Please go ahead. Your line is open.
Jamie Cook: Hi. Good morning. I guess the couple of questions. One, as we sit here a month later relative to your strategic outlook call. If you could just comment on your view on the health of the backlog and whether we've properly understand like where the risk is in the backlog and risk of incremental charges going forward? I guess second, on the asset sale given some of the transactions that have been announced since you announce the decision to sell the government business, sort of where we are in the process and whether you're more optimistic? And then last, Mike, understanding you don't want to give long-term guidance or guidance for 2020 yet. Is there any help you can give us sort of on cash flow, how long the problem projects burn on the cash flow? When we expect cash flow to be positive outside of asset sales and cash from operations I guess? Thanks.
Carlos Hernandez: Good morning, Jamie. I'll take the first two, and I'll ask Mike to take a third one. With respect to the backlog, as you can see this quarter we took couple of charges -- charges on a couple of government projects which we had indicated we expected to do that. With respect to the rest of the portfolio, our estimates have been holding very well and I'm very optimistic that, while we can't guarantee that we won't have charges in the future. We've gotten our arms around the backlog and are very -- feeling very, very confident about where we are there. With respect to the transactions, it's very early in the process. But I can tell you that there is significant interest with respect to both businesses. We've got – we've engaged investment bankers for both businesses. We got a list of interested buyers and we'll be progressing that very promptly. We're probably a little bit further ahead on the rental business, but we expect to close both transactions probably no later than mid 2020 and we're very positive about how those are going to progress. Mike?
Mike Steuert: Sure. Jamie, let me talk about cash flow. First, as we look at the charges that we took in the second quarter and some of our loss projects. We did experience modest outflows in the third quarter. We will have some outflows in the fourth quarter and through 2020. Most of those -- the vast majority of those projects will be well along their completion path by the end of 2020. So we expect to address -- see all that. But at the same time, we are working on improving underlying operations and expect to have positive cash flow from the rest of our businesses. In addition, as you mentioned we're working on asset sales. We're also working on selling a lot of other non-core investments or other assets that will positively impact cash flow and we have some claims and some other assets on the balance sheet that we hope to monetize over the next year as well. But I would not point yet that we can really break it out with the amount of affinity that I'd like to and perhaps we will in February. But I am cautiously optimistic that we'll some -- net of all the other special items, we'll see some positive cash growth throughout the latter half of 2020 and as move into 2021.
Jamie Cook: Okay. Thank you. That's helpful. I'll let someone else to get in.
Operator: [Operator Instructions] We'll now take our next question from Andrew Kaplowitz from Citi. Please go ahead. Your line is open.
Andrew Kaplowitz: Good morning, guys.
Mike Steuert: Good morning.
Andrew Kaplowitz: Carlos, can you step back and talk about the booking environment as you see it. You didn't book much in E&C in the quarter. And I think you mentioned the cancellation in your prepared remarks. But during your strategic review you suggested that Fluor's overall backlog to be flattish in 2019. With the understanding that you've removed government and AMECO from continued operations, have your expectations for backlog changed a bit given the cancellation. Are you seeing any incremental delays on project awards?
Carlos Hernandez: Well, we have seen a little of a delay. We had indicated earlier that Rovuma project was delayed to probably the second – first or second quarter from the final notice to proceed. But I think the new awards for 2020 as we're looking at now will be fairly consistent with what we said. It's going to be fairly flat to 2019 with the exclusion of – obviously, with the exclusion of the government and AMECO businesses. But we're pursuing several big reimbursable projects and E&C is pretty optimistic about those. So I can't say that we're seeing a lot, lot of growth, but we're not going to see much deterioration either.
Andrew Kaplowitz: Thanks for that color. So then, when you look back, it seems like you impaired most of the investments that the previous management made over the last several years with the notable exception of NuScale. So, at this point do you see any risk of further impairments? And then, when you setback it seems clear that Fluor needs to improve the way it invest its cash. So how do you take that lesson and move forward? To you do fewer JVs? Do you do something different than integrate the delivery model? What do you do going forward?
Carlos Hernandez: Well, I'll let Mike answer the question as to whether we anticipate future impairments. But you're absolutely right in terms of our investment experience. We're going to be much more cautious in the future with respect to our investments. We pursued a strategy of getting into fabrication and that strategy is a valid strategy, but we haven't had the success at the yard that we expected as early as we did. We are expecting now that the LNG modules will be released to that yard in early to mid 2020. So that yard, we expect will be performing better than it has in the past. With respect to the Stork investments, we probably paid more than we should have for that, but we're restructuring now and it's going to be performing at a higher level in 2020. So yes, we've made some investments that may have been better made, but we're dealing with them right now. And we're not going to be making investments in the future that don't have a rigorous review in terms of its potential or its expected return. Mike, you want to talk about impairments.
Mike Steuert: Sure. We did take a very close look at impairments and the majority of impairments were regard to the fab yard in China and we had a modest impairment on stork. And as Carlos mentioned our outlook for both of those – for both fab yard and stork is improving as move to the remainder of this year in 2020. We definitely think our impairments are sufficient for those and I wouldn't expect any further impairments. As you move forward and generate cash, I don't think you're going to see us making similar investments. Our priorities for cash are to rebuild our cash balance, strengthen our balance sheet, and then of course return cash to shareholders as we get to a healthy balance sheet and a healthy cash position. But that's how we look at currently Andy and we certainly at this stage do not anticipate any further impairments.
Andrew Kaplowitz: All right. Thanks guys.
Operator: We'll now take our next question from Steven Fisher from UBS. Please go ahead. Your line is open.
Steven Fisher: Thanks. Good morning, guys.
Mike Steuert: Good morning, Steve.
Steven Fisher: Good morning. The E&C margin in the quarter and the forecast were better than we expected. And I know did cite some closeouts. But is the Q4 rate kind of the starting point for 2020? And how should we now think about the trajectory of the margin in that segment?
Mike Steuert: I think you could at high level say it is a starting point for 2020. But again, we're going to be going through a very detailed review of 2020 as we close out this year. And we will feel much better about providing digital guidance in February. But we are pleased with how the businesses are performing as we exit this year and are going to setting fairly high expectations for performance in next year.
Steven Fisher: Okay. That's helpful. It seems like infrastructure & Power profit dollars will still be pretty immaterial in the fourth quarter, but you are putting some new big projects in there like the I-635. So, until LNG Canada and some of the other big energy projects ramp-up, is this going to be the swing factor segment for overall profitability you think? And how long will it take for that segment to start showing a more normalized margin which I assume should be more like the mid to upper single-digit?
Mike Steuert: It's going to take a while for the loss projects that we took in the second quarter to burn through backlog. But as we exit 2020 moving to 2021, I think you'll start seeing a much more of a return to normalized margins. We’re very pleased with I-635 award. We have a great track record with Texas DOT and we think that's going to be a real big contributor as that moves forward. In addition, the other activities will again be moving out of backlog as we go forward throughout 2020.
Carlos Hernandez: Yes. Let me just add something to that, Steve. We've got now almost 20 projects in the infrastructure business, which is a very healthy number of projects and some of those have been around for while and some of those that are ones that are not delivering the margin right now, but as we work our way through those, I think we should expect improve margins as Mike indicated.
Steven Fisher: Great. And then just lastly, Mike, I wanted to follow-up on the cash flow question that Jamie asked. If you can quantify it, are you thinking that the net burn through the first half of 2020 will be a bit less than you were thinking a few months ago?
Mike Steuert: On a net basis, yes, I've been pleasantly surprised over the last couple months of the cash generating capability of our ongoing business if you take away these loss projects. We certainly have been as an organization throughout focus on cash flow generation. I just see us generating a fair amount of cash from that as well as from collecting cash from other non-core assets and investments that we're really scrubbing our balance sheet.
Steven Fisher: Terrific. Thanks a lot.
Operator: We'll now take our next question from Jerry Revich from Goldman Sachs. Please go ahead. Your line is open.
Jerry Revich: Yes. Hi. Good morning everyone.
Mike Steuert: Hi, Jerry.
Jerry Revich: I'm wondering if you could just expand on Rovuma LNG. So, congratulations on the contractor selection. Where we've had issues with them with projects in the past has been either a function of timing overruns, issues getting change orders approved or engineering design issues, and so as it relates to those three pockets of risk if will, can you just talk about how you folks have been able to mitigate those issues within the bid for Rovuma LNG?
Carlos Hernandez: Well, first of all, we'd mentioned in the past changes we've made in our selectivity of pursuit criteria and clearly the Rovuma project met all that criteria. We have two very strong partners in that project; JGC and TechnipFMC have significant experience in the LNG arena. We have engaged in discussions with our customer for a number of months now in derisking the project. We've had high-level conversations with that customer with respect to what's happened in the industry in general as far as the allocation of risk having been disproportionately shifted to the contractor. And so it's been a very, very cooperative process. There are certain risks in a project that we have not taken. I can't go into detail in those, but there are some risks that's been – that's remaining with the owner. In terms of schedule, in terms of productivity this is a stick-build project and were going to -- we feel very confident that we have addressed all the risk issues here. So it's going to be a matter of showing you, but I am extremely seemingly positive about this project. And we are – and so our partners. So I'm looking forward to it.
Jerry Revich: And obviously, we know your background, Carlos, in terms focusing on terms and conditions that we were just trying to build there our comfort level around timing in particulars, so when we seen cost of runs in terms of productivity and labor hours, it's been in part due to a function of type project timing. So, can you just talk about that particular aspect of the contract structure if you won't mind?
Carlos Hernandez: Sure, not at all. Obviously, one of the key issues in these projects that or any project that we have struggled with in the past has been where we've had inadequate schedule. And that is part of our criteria now that we're not going to agree to a schedule that's overly aggressive. And in fact that has actually caused a project for us to be cancelled by the owner because we wouldn't agree on what the owner wanted for its schedule. In Rovuma the way we have structure that contract is that the risk lies with the party that's best able to manage the risk. For example, the client is responsible for in country risks. We're not going to – we're not responsible for security, but of course we are responsible for our people's security. And we're not going to mobilizing on to the site until security is in place and it is at an acceptable level. There is a robust force majeure definitions, including all places where the work has been performed not just in country. And we have procured subcontractors, Tier 1 subcontractors with a proven track record and have appropriately allocated risk to them. And as I mentioned earlier the project really meets our pursuit criteria.
Jerry Revich: Okay. I appreciate the color. And then in terms of on the infrastructure project opportunities we've seen a couple of companies stepping away from the larger projects because of inadequate risk terms on multiyear infrastructure projects. Can you just talk about your assessment of the market environment and what your opportunity set looks like? Do you agree with the assessment from a few of your competitors and partners?
Carlos Hernandez: Yes. One of the differences between some of the competitors that have exited the mega infrastructure, P3 or other large infrastructure projects is we do have the capacity and the balance sheet to take on those projects. But we're not going to take on projects for example, where we don't have the right team to execute. We have -- we just recently walked away from an opportunity because we didn't have the right team. I think that there will be plenty of opportunities in infrastructure especially as we complete the existing projects and in the geographies where we have said we're going to execute infrastructure projects where we're going to be able to get work for example in our heavy civil business which is a business that's construction only for smaller projects in the $100 million to $200 million dollar range. Typically, we have we have a couple of opportunities where we're going to be doing those on a unit rate basis, taking out quantity risk. So I think we're well-positioned in infrastructure, but we're not going to get ahead of our skis and take more work than we can execute effectively.
Jerry Revich: Okay. Thank you.
Operator: We'll now take our next question from Michael Dudas from Vertical Research. Please go ahead. Your line is open.
Michael Dudas: Good morning gentlemen. Carlos, when you're looking at the projects that you're waiting FID on and from the risk standpoint that you renegotiate or rethinking about it for, how do those contracts that are waiting for award, how does that fit in relative to what was done, because those were probably looked on quite a bit in the past. And then what are you telling your sales folks or your operating folks relative to the new level of projects that you're bidding in the next – now till the next six to nine months. How much differently are those changing? Is that like making you look at different parts of the energy market, different parts of the mining market relative given the risk mitigation you're trying to portray through the organization? Thank you.
Carlos Hernandez: Yes. With respect to that the projects that we're waiting for FID on such as Rovuma. That project, as well as actually the LNG project did meet the existing or the new criteria in terms of contract negotiations. Obviously, those projects being as significant as they are, they received a tremendous amount of scrutiny and we addressed all the issues. We either mitigated them. Negotiated them out or properly price them in. What we're telling our salespeople is what I'm telling our salespeople is, look, we're going to pursue excellence in execution and that starts at the bid, no-bid stage. We're not going to bid a project that we don't think we can execute effectively. And we're not going to take terms conditions that unduly put risk on us. And we're not going to agree to schedules that we can't meet. And this change and approach to a more risk balanced approach has taken very well within the organization. We now have -- when we reviewed projects, and every significant project comes to review to myself and the corporate management team. We have a list of the criteria and every project proposal or every package checks off whether the criteria is met or not. And that's now standard operating procedure in view of projects. So the message has been delivered and well received and I think it's going to serve as well.
Michael Dudas: I appreciate that Carlos. And just a quick follow up. In Infrastructure & Power that segment you have now, what's the power part of that business?
Carlos Hernandez: Yes. Good question, Jerry. That's basically…
Michael Dudas: That will be Mike.
Carlos Hernandez: I'm sorry Mike. I'm sorry Mike.
Michael Dudas: Okay. Thank you.
Carlos Hernandez: That's basically running off the power projects we have warranty – we want some warranty issues, but you're right. There's not any substantially new, any new business in power. We do have power services business but that resides in a diversified services segment.
Michael Dudas: Understood. And final thought is back to your comment on the new process. Is that reducing the project funnel that you anticipate to be looking out over the next several months as well?
Carlos Hernandez: It probably will reduce it a little bit, but not in a significant way. We are – one of the things we also do is we're also chasing. We're going be chasing more mid-cap type of work which we had moved away from. We had done almost not exclusively, but largely after mega projects. And some of that mid-cap work will be reimbursable. So I think overall it's not going to have a huge impact on our backlog.
Michael Dudas: Thank you, Carlos. Thanks Mike. 
Carlos Hernandez: Thanks Mike.
Operator: We'll now take our next question from Sean Eastman from KeyBanc Capital Markets. Please go ahead. Your line is open.
Unidentified Analyst: Hi. This is Sangita [ph] for Sean. Thanks for taking the questions. I just want to ask on the favorable resolution that you talked about in the mining segment, if you could quantify that for us maybe?
Carlos Hernandez: Yes. That was a longstanding dispute that we had with a client and have been in arbitration for several years. That was actually the result of what we had really pretty favorable or balanced terms and conditions. And that is in – I think in the $25 million to $30 million range.
Unidentified Analyst: Okay. That's very helpful. Thanks. And as we think about your long-term free cash potential 2020 and beyond, how should we think about your CapEx for your continuing operations?
Mike Steuert: We're going to have very modest CapEx going forward for continuing operations. Absent the AMECO equipment rental business, most of our CapEx is really going to be to support our IT infrastructure and our office buildings and we just see modest requirements there going forward in terms of investment. So it is not going to be a material part of our cash flow equation.
Unidentified Analyst: So we should -- should we think about it as less than half of what you have now, which is like $200 million-ish?
Mike Steuert: It's much less than half.
Unidentified Analyst: Okay, great. Thank you. And my last question on the government business that you have up for sale. I understand that process is ongoing and you can't share much. But can you let us share with us how you think? Whether it's going to be one large transaction? Or are you seeing multiple buyers than it could be broken up into pieces?
Mike Steuert: That, to some extent, is going to depend on the nature and value of the offers. But I suspect it's more likely they're not going to be one transaction.
Unidentified Analyst: Okay, great. Thanks so much. That's all for me.
Carlos Hernandez: Let me correct something I said. I think I told you 25 to 30 for that resolution. Actually I think it's more in the $20 million range. I was thinking of something else.
Unidentified Analyst: Okay. That's great. Thank you.
Operator: We'll now take our next question from Michael Feniger from Bank of America. Please go ahead your line is open.
Michael Feniger: Hey guys. Yes. Thanks for fitting me in. Just on the mining side you guys highlighted how you're encouraged about 2019 – 2020, 2021. I'm just curious if you talk about the strikes going on in Latin America. It's been a lot in the press. Are you hearing anything of how that could impact the pipeline? How customer conversations are progressing given that backdrop?
Carlos Hernandez: Yes. Mike at this point, that's not really impacting. We're basically doing FEEDs and feasibility studies. Obviously, we have some projects ongoing as well. But at this point it's not impacting our visibility into the future in an adverse way.
Michael Feniger: Fair enough. And following the strategic review I'm just curious if you guys had any time to reflect that how this business without government services, how we should be thinking about free cash flow conversion going forward, the balance sheet structure going forward and with the proceeds you're going to be getting I mean, why wouldn't we see any notable buyback to like maybe offset the dilution there? I'm just curious how you guys are thinking about that following the strategic review?
Carlos Hernandez: That's a great question. We do see the cash flow generation capability of the business going forward remaining fairly solid even with the sale of government and American Equipment. American Equipment was not a significant cash flow generation capability the way that was managed and way we invested it in new equipment. Government was a solid cash flow generator, but our remaining businesses are as well. So we don't see a significant change in profile. As we look at the proceeds that we're going to receive from the sales and our $1 billion was a conservative estimate. We're all optimistic we can we can do better than that. In addition, we're optimistic with what we can do with [Indiscernible] some of other assets. Clearly as we improve our cash position. As we reduce our debt to what we think is appropriate level to remain solid investment grade, our next priority is returning cash to shareholders. And if we get to the point that we're comfortable with our balance sheet, comfortable with our cash position and we see some excess proceeds, we will definitely consider share repurchase.
Operator: We’ll l now move on to our next question from Chad Dillard from Deutsche Bank. Please go ahead. Your line is open.
Unidentified Analyst: Hi. This is Kevin on behalf of Chad. I just had a quick question on the bidding environment for oil and gas. Has the lower risk model that the company adopted changed the conversation with customers? And if so, how does the project funnel changed?
Carlos Hernandez: We've been having Kevin since May 1. We've been having conversations with our major oil and gas customers precisely about this issue of the bidding risk environment. As you know there have been a number of players in the space that have left the oil and gas because of the environment that has existed for several years. Our customers understand that they get it. They are now telling us, look we need Fluor to be a successful company and we got to understand, we got to work together to derisk projects. And we've already seen some of that and some of the projects that we've talked about. So, we're not you know lump sum is not going to go away, but a balanced lump sum is going to be the model for the future it has to be. We are -- one of things we're doing now on a lot of projects is we're starting out as a reimbursable cost during the design phase and once we have designs substantially complete and the vendor data substantially procured then we're in a very good position to lump sum the balance of the project. And that's something that we've found some -- a lot of receptivity from the clients on. So, there will be projects we will walk away from, for sure. But as I said earlier, I think that overall we are in a very positive position in our industry because of our ability to execute the large projects, our relationship with our clients and the fact that others are not capable of managing risks as we will be able to do so.
Unidentified Analyst: Got it. Thanks. That was helpful. I'll pass it along.
Operator: And our next question comes from Justin Hauke from Robert W. Baird. Please go ahead. Your line is open.
Justin Hauke: Hi. Good morning everyone. I've got another 2020 question, but hopefully this one's a little bit more quantifiable. Just on the corporate and G&A expense, what -- that was pretty stable for several years running 45 million, 50 million a quarter with the restructuring and you're assuming that more normalized comp next year. What level of G&A do you think is kind of the run rate for the business with the divestitures?
Mike Steuert: It'll start out on the $45 million to $50 million range and our expectation is as we implement these cost reduction programs that we announced as well as some other adjustments that are in line with divestitures that it will gradually decrease throughout the year. All the cost reductions will take effect at one fell swoop. But our initial pass through that process has identified a lot of opportunities. They're not all going to reside at the corporate level. A lot of them are going to be reside in the business units. But we do we do expect a gradually reduction of corporate G&A throughout 2020.
Justin Hauke: Okay, great. It's helpful. And then just, what was the size of the Wanhua debooking? Maybe we have that but I didn't think you quantified it?
Carlos Hernandez: Yes. That was about 500 million [ph].
Justin Hauke: Great. Okay. Thank you very much.
Carlos Hernandez: Thank you.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session. At this time I would like to turn the conference back over to Mr. Hernandez for any additional or closing remarks.
Carlos Hernandez: Thank you, operator. With our strategic and operational reviews now complete and our restructuring underway. Fluor is now focused on returning to excellence in our operations and consistent profitability. Our employees remain our greatest assets, and thank them for their ongoing hard work and dedication to Fluor. We're committed to working together as a team to execute our strategic priorities and position Fluor for continued success. And I'm confident we have the right people, the right structure and the right global footprint to leverage our talent and capabilities to generate shareholder value. Thanks to all of you for participating on our call today and we greatly appreciate your support at Fluor. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. Your may now disconnect.